Operator: Good day, and thank you for standing by. Welcome to TAL Education Group Fourth Quarter and FY 2022 Earnings Conference Call [Operator Instructions]. Please be advised that today's conference is being recorded [Operator Instructions].  And now I would like to hand the conference over to Mr. Jackson Ding, Investor Relations Director. Thank you. Please go ahead, sir.
Jackson Ding: Thank you, operator. Thank you all for joining us today for TAL Education Group's Fourth Fiscal Quarter and Fiscal Year 2022 earnings conference call. The earnings release was distributed earlier today, and you may find a copy on the company IR website or through the newswires. During this call, you will hear from Mr. Alex Peng, President and Chief Financial Officer; and myself, Investor Relations Director. Following the prepared remarks, Mr. Peng and I will be available to answer your questions. Before we continue, please note that the discussions today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in public filings with the SEC. For more information about these risks and uncertainties, please refer to our filings with the SEC. Also, our earnings release and this call include discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures. I would like now to turn the call over to Mr. Alex Peng. Alex, please?
Alex Peng: Thank you, Jackson, and good evening to everybody on the call. I guess in a way it will be Good morning to those joining from the U.S. Let me start by noting it's been about a year since the company last organized earnings conference call. So thank you all for making the time and joining us today, and I'm looking forward to discussion. Let me start with our financial results for the fourth quarter and the whole fiscal year 2022. In the fiscal quarter ending on February 28, 2022, we recorded $541 million in revenue, $0.6 million to $600,000 in GAAP operating income and $108 million in GAAP net loss attributable to TAP. So since the recent market conditions and regulatory environment developing in our industry in the Mainland of China, we've been taking actions and making necessary adjustments to our business. First of all, as of December 31, 2021, we ceased offering K-9 Academic after-school tutoring services in the mainland of China, which, as you all know, used to constitute the majority of our overall revenue. We have since realigned our positioning as a smart learning solutions provider, and we have pivoted our products and services along 3 main trusts. And those are learning services, technology solutions and learning content solutions, and we offer these to learners and learning institutions both in China and global. The financial performance of our fourth fiscal quarter and fiscal year 2022 reflects such transformation and that will add its transformation in motion. Let me take this opportunity to express on behalf of TAL's management team, our sincere appreciations to our customers for their trust and understanding, to our colleagues and ex-colleagues for their dedication, hard work, and perseverance, to our business partners for their assistance and advice, to regulatory authorities for further supervision and guidance, and last but not least, to our shareholders for their continued support on this transformation journey. Thank you all. As we are transforming into smart learning solutions provider, as I mentioned before, we're primarily offering the following product and services, learning services and others, learning technology solutions, and content solutions. We're all fully exploring other initiatives in China and globally. Jackson will give you an update on our operational developments in these business areas and review the fourth quarter and fiscal year financial results. After that, I'll update you on our business strategy, and then we'll open the floor for questions. So Jackson, Please go ahead.
Jackson Ding: Thank you, Alex. Let me start by introducing our learning services and others business. We provide enrichment learning programs to the learners between 2 and 18 years old. These programs are offered in various class sizes through both online and offline formats. Our offerings currently include the following programs: size and creativity, coding and programming, humanity and aesthetics, and etcetera. Let me now spend some time to talk about the programs themselves. Size and creativity guide learners through observation, analysis, and application of various scientific phenomena and theories. The program is designed to develop learners' scientific curiosity and problem-solving capabilities. Coding and programming covers a broad range of computer science-related topics, including programming literacy, software development, algorithm, and etcetera. The program is designed to advance learners technological fluency and critical thinking skills. Humanities and aesthetics provide comprehensive learning at the intersection of history, art, and literature. The program is designed to cultivate learners' cultural and aesthetic literacy. Aside from the offerings mentioned above, we are actively developing additional programs. We have witnessed demand from our customers to develop as well rounded people and lifelong learners. Our enrichment programs are designed to capture that demands. Enrichment learning will continue to be an important pillar in our business going forward. Our second main business area is learning technology solutions. We provide a full suite of enterprise-grade technology products and services to learning institutions. Our offerings cover many components in the value chain of the learning process, including online classroom, content development, teacher support, and learning center management. We are currently serving a number of for-profit and not-for-profit learning institutions and we'll continue to expand our customer base. Our third main business area is content solutions. We offer academic and non-academic learning content in both paper and digital formats. The learning content materials themselves are either created in-house, leveraging the broad content library we accumulated over the course of the company history or acquired and/or licensed from domestic and global partners. These digitally integrated highly interactive learning contents enable our learners to self-study or to simply consume casually. All these business areas mentioned above are still in development stages and are subject to further adjustments. That concludes the operational development section. Let me now shift gears a little bit to go through some key financial highlights for the fourth fiscal quarter and then briefly review the fiscal year 2022 financial results. Please note that financial results in the fourth quarter and fiscal year 2022 are subject to impact from one-off business adjustments. It should be taken with care as to refer to our potential future performance. Please also note that such financial performance still includes partial results from K-9 academic after-school tutoring services prior to this succession. In the fourth quarter of fiscal year 2022, net revenue totaled $541 million, representing a 60% decrease from $1,363 million in the fourth quarter of fiscal year 2021. The decrease in revenue was primarily driven by the succession of K-9 Academic AST services. Gross profit declined by 56% to $343 million from $781 million in the same year ago period. Selling and marketing expenses decreased by 84% to $103 million from $660 million in the fourth quarter of fiscal year 2021. Non-GAAP selling and marketing expenses, which excluded share-based compensations decreased by 82% to $113 million from $635 million in the same year ago period. Selling and marketing expenses as a percentage of revenue is decreased by 29% to 19% in the last quarter on a year-on-year basis. The year-on-year decrease of selling and marketing expenses was primarily a result of the reduction of marketing promotion activities. General and administrative expenses decreased by 39% to $212 million from $349 million in the fourth quarter of the fiscal year 2021. Non-GAAP general and administrative expenses, which excluded share-based compensation expenses decreased by 31% to $203 million from $294 million in the same year ago period. Income from operations was $0.6 million in the fourth quarter of fiscal year 2022 compared to a loss from operations of $297 million in the same year ago period. Non-GAAP income from operations, which excluded share-based compensation expenses, was $0.8 million compared to non-GAAP loss from operations of $217 million in the same period of the prior year. Net loss attributable to TAL was $108 million in the fourth quarter of fiscal year 2022. We compared to net loss attributable to TAL of $169 million in the fourth fiscal quarter of fiscal year 2021. Non-GAAP net loss attributable to TAL, which excluded share-based compensation expenses, was $108 million compared to non-GAAP net loss attributable to TAL of $89 million in the same period of the prior year. As of February 28, 2022, the company had $1,638 million of cash and cash equivalents, $1071 million of short-term investments and $ 1,044 million in current and noncurrent restricted cash. As of February 28, 2022, the company's deferred revenue balance was $188 million compared to $1,417 million as of February 28, 2021, representing a year-over-year decrease of 87%, which was primarily driven by the succession of K-9 Academic AST Services. Turning now to the fiscal year 2022 financial results, let me briefly review some key financials as follows. Fiscal year revenues decreased by 2% to $4,391 million. Gross profit decreased by 11% to $2,188 million. Loss from operations was $615 million in the fiscal year 2022 compared to the loss from operations of $438 million in the prior year. Non-GAAP loss from operations, which excluded share-based compensation expenses, was $440 million for the fiscal year 2022 compared to non-GAAP loss from operations of $233 million in the fiscal year 2021. Net loss attributable to TAL was $1,136 million in the fiscal year 2022 compared to net loss attributable to TAL of $116 million in the previous fiscal year. Non-GAAP net loss attributable to TAL, which excluded share-based compensation expenses, was $961 million compared to non-GAAP net income attributed to TAL of $89 million in the fiscal year 2021. That concludes the financial highlights section. Now I'll hand the call over to Mr. Peng to briefly update you on our business strategy outlook. Alex, please.
Alex Peng: Thanks, Jackson. So fiscal year 2022 was certainly an eventful year in our industry. We went through significant changes in the regulatory environment and market conditions. And I think we've just entered into the opening chapters of our transformation journey. But when I look forward and look into the future and thinking about the megatrends in technology and in society, we're also seeing new opportunities, but also new challenge. I think the company will continue to strive to capture these opportunities and overcome these challenges. And through the strength of our brands, our experienced staff, our content development capabilities, our technology, and our operational know-how. Looking forward, we expect learning services, learning technology solutions, and content solutions to have viable business models and we'll continue to invest into other new initiatives. As a smart learning solutions provider in China and abroad, we will continue to serve learners and learning institutions global. And as I come to the end of my prepared remarks, I'll just make a personal reflection. As the Chinese saying goes, the journey is already so long, and you will get to by just going forward. And I think that speaks to the mindset of the management and the company will just go forward. So that concludes my prepared remarks. Operator, we're now ready to take questions.
Operator: [Operator Instructions]. The first question comes from Lucy Yu from Bank of America.
Lucy Yu: This is Lucy coming from Bank of America. I have a question on restructuring costs. So how much of the restructuring costs are related to K-9 termination that was recorded in your last fiscal year '22? And how will this restructuring cost recorded in P&L? And will there be any more similar costs in the upcoming year?
Alex Peng: Lucy, thank you for your question. As previously announced by the company, we ceased offering K-9 academic after-school tutoring services in the Mainland of China by the end of last year. The onetime cost and expenses incurred in the process were primarily related to staff optimization and learning center optimization. Such costs and expense items have largely been reflected in the second half of our fiscal year 2022 financial results. I would just say it was tremendously difficult to say goodbye to some of our endeared colleagues. We downsized significantly in the last year and tried our best to balance the career of our employees, the interest of our learners, and the staffing needs of the company in this downsizing process. As far real estate related costs and expenses, we have been having some active discussions with our landlords. The process itself is taking slightly longer than the staff optimization process. We'll consider the current business situation and future business needs in adjustable learning center. Besides with the ongoing advances in the learning market we will continue to adjust our geographic footprint in the future. So in short, I think the bulk of the K-9 succession related cost and expenses have already been booked in the FY 2022 financial results. There might still be a small amount in the next couple of quarters. I hope that answers your question.
Operator: Our next question comes from D. S. Kim from JPMorgan.
D. S. Kim: By the way, it's great to see our operating profit turning positive in this challenging market. Congrats on that. Just a follow-up on what you just mentioned. Can I ask what would be the clean OpEx level for the coming quarters, i.e., so we understand most of the restructuring costs have already been booked. But just to gauge how much would be the recurring level. Can I know either how much was booked in the fourth quarter so that we can strip it out or what would be the recurring level going forward?
Jackson Ding: I think before we answer kind of the OpEx outlook in the future, the first step is probably to kind of discuss a bit how many learning centers and employees we have returned. And as such, we will have a better estimate of our OpEx going forward. We have made substantial progress by now in restructuring. As Alex mentioned earlier, we're transitioning to be a small learning solutions provider to deliver learning services, learning technology solutions, and content solutions. We're in an evolving market today. And what we decide how many learning centers and how many employees to keep, we'll take into considerations of current business situation and future business needs. By now, our staff optimization has achieved substantial and our overall employee size is a fraction of what it used to be. The current employee scale will provide suitable human capital resources for the business transformation. As for our learning centers, you can see on our financial reports that our operating lease right-of-use assets decreased by 85% compared with 2 quarters ago. The reduction in learning centers is in line with the reduction of operating leases. Like I said earlier, we're still having some ongoing discussions with a few our landlords to further optimize our geographic footprint. As for the OpEx itself, what you see on our fourth quarter financials, this still includes some OpEx prior to the K-9 succession. So as we look forward, you can expect OpEx to change it then from the current level.
Operator: Our next question comes from Mark Li from Citi.
Mark Li: May I know your future development plan for the technology solutions and content solutions, these 2 segments, respectively? Any key operating metrics we can track? And what do you think about the timing to see this segment to take off?
Alex Peng: I think before addressing specific plans, metrics and timing, I wanted to bring this question sort of take a step back and bring it one level up. As I mentioned in my prepared remarks, looking forward, we're really seeing some few interesting and exciting developments in the industry across the world. In the last, I would say, 6 to 8 months of how the opportunity to speak with a number of players and colleagues from the industry from many different parts of the world, in the U.S., in Europe, in other parts of Asia. And I think from those conversations, many of them are telling me that we are really at the cusp of a learning revolution. And from these discussions, I think 4 words come to my mind. Those are online, digital, intelligence, and open. So let me explain a little bit around those 4 words. So online, especially was the impact from the pandemic. The online learning format is really from many of these colleagues are telling me here to say just stay digital. We're seeing digital content and digital devices playing an increasingly important part in the learning drill. Intelligence with the add-ons of cognitive technologies and artificial intelligence related algorithms. We're really seeing a much more natural and personalized experience for the learners. And the last one is open. It's like the proverbial it takes a village. It takes many players in the learners learning journey to make it successful. It takes content and technology from many players to make it possible. So just to build on that, really, if we talk about our strategy, broadly speaking, I think we'll continue to strive to build world-class first-party content, but also to work with content providers across the world to bring those contents to learners, both in China, and in the rest of the world. We really look forward to integrating this experience across many different products over technology and to provide a much more natural and individualized, personalized learning journey to learn us. And lastly, I think what the technology that we've built over the years and with experience in the past of serving other players in the industry, we really look forward to empowering the entire ecosystem on its digital transformation journey. So if you see [macrolly], that's how I look at this, what kind of trends going forward and the big direction for us. But we are still in the early stages of this transformation. We have many of the components that I talked about that we've done over the years, but we really still striving to build viable business models to fine-tune and optimize our product and services and continue to work with more partners across so many different markets. So I look forward at a future date to give everybody updates on the metrics and how this drives our transformation forward. Thanks, Mark.
Operator: Our next question comes from Sheng Zhong from Morgan Stanley.
Sheng Zhong: My question is also related to the new initiatives. So you just talked about many new causes and also projects that you are working on. So which of them are more important than the others? And also, how much revenue contribution do you expect from this new business in the future?
Alex Peng: As I mentioned before, we think the main contribution to FY '23 upcoming the current just be a word at, the revenue will come from those 3 buckets, learning services, learning technology solutions, and content solutions. And out of these 3 areas, it is likely that learning services will be the largest revenue contributor in FY '23. But I was just hasten to add that these businesses are still relatively boring and we'll have more clarity on their overall size as they continue to develop. Other new initiatives, let's take an example, overseas academic tutor. Those are still really in exploratory spaces and it's probably even harder to really predict the size. We'll continue to operate and develop these initiatives and scale them up for the right market conditions and the right internal capabilities are launched. Right now, as I mentioned before, we are in this transformation journey in motion, we are indeed undergoing major business adjustments and those new initiatives in conjunction at the same time. Some of these business areas have just started, and we'll obviously look forward to providing performance outlook as soon as possible in the future. Thanks Sheng Zhong.
Operator: Our next question comes from Felix Liu from UBS.
Felix Liu: Congratulations on turning profitable in a very challenging environment. My question is on your transition towards the nonacademic tutoring. So could you share a bit more color on the transition more typically were coming from the typical angle of the school tiering to what level of enrollments are we looking at? Any retention rate to share and the margin outlook for the nonacademic tiering?
Alex Peng: Let me first recap a little bit what Jackson talked about before, so to start with the enrichment of learning services in terms of the subjects areas are very different from academic after tutor and services, but the business model. If you look at and type of business model, it's somewhat similar to that of academic AST. The product format is different. I mentioned the content format is different. We provide enrichment learning services in both online and off-line format in various class sizes. And we're also observing and we are making some interesting observations that these kinds of classes typical will foster a lot more interaction a lot more student-driven activity, and we absolutely look forward to continue to innovate and optimize those offerings to our customers and their operations. For sure, we're closely tracking the metrics that reflect the overall health and growth of the business. So we can continue to fine-tune the business model. So, I think it's really still too early to discuss the metrics themselves, but we'll come back to you as soon as possible.
Operator: Our next question comes from Linda Huang from Macquarie.
Linda Huang: So I have one question regarding for our cash position. We know that we probably need to spend some money to continue to invest in the new business. And we probably also suffer from the certain period of the loss making. So I just want to know that how should we look at our cash position and to which point, the cash level, it will draw down. And from our announcement, I also noticed that the company would like to continue to reward the shareholders by the share repurchase. So, I just want to know that in addition to the share repurchase, the management has ever considered to use the cash to return to the shareholder. And when the management thinking about the shareholder returns for like the cash return versus a share repurchase, what is the rationale behind that? We prefer one over the other?
Alex Peng: Again, let me unpack that question a little bit. I think in our earnings release, there are numbers from the balance sheet, you can see. I think Jackson talked a little bit about that earlier. Let me just briefly say, we believe the cash position is very solid. You talked about the share repurchasing plan. Again, as mentioned in our press release earlier, the board has authorized an expansion of our share repurchase plan. And this is an expansion from the plan that was put in place about a year ago. The plan effectively allows the company to repurchase up to approximately $800 million of the company's share over the next 12 months. And the company was also informed that senior management of the company will use their personal funds to purchase up to $100 million of the company's shares. I think that the share repurchase as a long-dated way for us to create value for our long-term investors and shareholders. Last year, we approved the current share repurchase plan and executed a portion of it, and we really appreciate our shareholders' continued support through this transformation and we'll continue to create shareholder value. Thanks, Linda.
Operator: Our next question comes from Liping Zhao from CICC.
Liping Zhao: Just one quick one from me on the board compensation to get management; elaborate a little bit more on the change of the board compensation.
Alex Peng: First of all, let me just say we're really delighted to appoint Janet Yan Feng to our Board of Directors. Janet is currently a Senior Vice President and the CEO of Financial Services business unit of Trip.com and she has extensive experience in business and finance. So we're really confident that the addition of a seasoned senior executive such as Janet will add tremendous value to the company. And I will also take this opportunity to really thank Jane Sun for her over a decade of service on the Board of Directors. Jane is a dear friend and a mentor, we learned a tremendous amount from Jane, and I wish her the best of luck and success in her future endeavors. Besides this change, our core members on the board are stable, our Founder and CEO; Mr. Bangxin Zhang will serve as the Chairman of the Board; and Mr. Yunfeng Bai will continue serving as a director. I think our founders continue to be really committed to the businesses and are actively driving the business transformation. Thanks Liping.
Operator: Thank you. So we have reached the end of the question-and-answer session. And with that, we conclude our conference for today. Thank you for participating. You may all disconnect.